Operator: (Operator instructions.) It is now my pleasure to introduce your host, Pat Davidson, Vice President of Investor Relations for Oshkosh Corporation. Thank you Mr. Davidson, you may begin.
Patrick Davidson: Thanks Rob. Good morning and thanks for joining us. Earlier today we published our Q4 results for fiscal 2010. A copy of the release is obtainable on our website at OshkoshCorporation.com. Today’s call is being web cast and is accompanied by a slide presentation which is also available on our website. The audio replay and slide presentation will be available on our website for approximately 12 months. Please refer now to slide two of that slide presentation. Our remarks that follow, including answers to your questions, include statements that we believe to be forward looking statements within the meaning of the Private Securities Litigation Reform Act. These forward-looking statements are subject risks that could cause actual results to be materially different. These risks include, among others, matters that we have described in our form 8-K filed with the FCC this morning and other filings we make with the FCC. We disclaim any obligation to update these forward-looking statements which may not be updated until our next quarterly earnings conference call, if at all. We sold our European fire apparatus business in October of 2009 which was early in our fiscal 2010 year. All sales income and backlog figures that we discuss today refer to continuing operations only unless other wise stated. Presenting today for Oshkosh Corporation will be Bob Bohn our Chairman and Chief Executive Officer, Charlie Szews our President and Chief Operating Officer and Dave Sagehorn our Executive Vice President and Chief Financial Officer. Let’s begin by turning to slide three and I’ll turn it over to you Bob.
Robert Bohn: Thank you Pat. Good morning and thank you all for joining us today. I’m pleased to announce another strong quarter as we close out a record breaking fiscal year. For the quarter our sales increased 43% to $2.1 billion leading to the Q4 record sales for operating income of $234 million an earnings per share EPS of $1.28. Our defense segment again delivered strong results in the quarter and the Access equipment segment continued to exhibit improved year over year performance. As you know, our defense M-ATV program was a major focus for us in fiscal 2010. But we’ve been working hard on other opportunities across the company. We’ve been building and delivering test vehicles for the army and support of the FMTV contract and working diligently to capture the demand that we believe is present for M-ATVs from US allies. We have also been working hard to bring our brand new Access equipment production facility online in Tianjin, China. Charlie will talk about the grand opening that he attended just three days ago, in a few minutes. And we’re encouraged by the positive sings that we’re seeing with respect to our Access equipment business and the comments that we’re hearing from our rental channel customers. We continue to strengthen our balance sheet by paying down $139 million of debt in the quarter. We also completed a new credit agreement that Dave Sagehorn will talk about in a few moments. Let me take a moment to review some of the highlights for our fiscal year. Please turn to slide four. While I’m pleased with our Q4 results, I’m extremely proud of the results we’re able to deliver throughout fiscal 2010. Full year sales grew from $5.3 billion to $9.8 billion. Operating income increased to $1.4 billion and earnings per share came in at $8.94 each before non-cash impairment charges. These figures are records for Oshkosh Corporation. The M-ATV program was obviously a huge driver in allowing us to announce these record results. But the hard work of all our employees at Oshkosh Corporation made it happen; they really did. Our four segments worked as a team to make the M-ATV program a success and we were able to remain focused on our other businesses at the same time in sharing a number of our non-defense businesses. I’m going to close by noting that at the end of December, I’ll be handing the baton to my business partner of the last 14 years, Charlie Szews, who’s our President and Chief Operating Officer. The board of directors couldn’t have made a better selection to lead this corporation and I’m very confident that our company will have a very bright future. Thank you for your continued interest in and support for Oshkosh Corporation and thank you for your faith and confidence in me as I’m soon to be retired after the first of the year. With that I’ll turn it over to Charlie.
Charles Szews: Thanks Bob. We’ve enjoyed your leadership. Let’s turn to slide five for a discussion of our operations and performance in the quarter. The M-ATV is providing outstanding protection for men and women in Afghanistan; saving lives and enabling our war fighters to extend their missions into more remote and difficult terrain. During the quarter we continued to produce a wide range of vehicles for the FTM Theater needs of the army and marine corp. We’ve also been busy extending a range of products and developing product modifications to meet our customers ever changing needs. During the quarter we received an award to design an M-ATV ambulance, launched a new version of our PLS and worked to accelerate deliveries of our LVSR wrecker to meet urgent requirements in Afghanistan. Although we are producing M-ATVs at a lower rate, as we previously announced there are several foreign governments evaluating the M-ATV. Additionally, international customers have shown great interest in our global (inaudible) and our light tactical protector vehicle. We also continued our FMTV startup efforts in Q4. Through team work, planning and execution, we are largely on schedule as we ramp up the full rig production lines in the spring of 2011 despite the lengthy protest of this award. We had a very strong backlog at September 30 which should help us deliver a fiscal 2011 that would be a record for us. Were it not for the spectacular fiscal 2010 results. Please turn to slide six. The Access equipment saving continued to show year over year improvement in sales to third parties in Q4. We experience strong year over year sales growth in Q4 off of low base driven by improved demand in North American and emerging markets. Much like we discussed last quarter, we believe that demand in the US has been fueled mainly by replacement of aged units. Although we have continued to see some encouraging data points in the form of equipment utilization and rental rates as well strengthening prices for used equipment. Our domestic customers generally are confirming with us that they plan to increase their capital spending (inaudible) equipment in 2011 to replace aged units. And this bodes well for us. JLG continued to wind down its M-ATV production in Q4 with just a little over $150 million dollars of sales in the defense segment. Many employees that were involved with M-ATV activity have been reassigned to production of the traditional Access equipment products. As Bob mentioned, I just returned from our new China manufacturing facility grand opening. It’s a great facility and I’m excited about the opportunities this facility will provide to us to service our customers in Asia and Australia. We expect this region to be a growth engine for the Access equipment segment in the coming years. Last quarter we told you that we were changing the reporting structure of our towing and recovery business Jerr-Dan and it will be moved from our fire and emergency segment to our Access equipment segment. We have accomplished this. We closed two Jerr-Dan facilities and integrated Jerr-Dan operations into existing JLG production facilities while retaining ample production capacity for both Jerr-Dan and JLG for the next upturn. We expect this move will yield many benefits, not the least of which is a more competitive cost structure as Jerr-Dan adopts JLG’s lean manufacturing practices. We’ll provide periodic updates, but at this time the move is going extremely well. Please turn to slide seven to discuss our fire and emergency segment. Well the North American fire truck market has continued to experience lower order rates over the past year due to lower municipal spending. The fire and emergency segment has offset some of this lower demand with increased international orders and share gains. Our airport products business continues to capture orders both domestically and internationally. Our investment in our international sales and service capability has really paid off. We expect international markets to remain a driver of our results in this business but these markets are becoming more competitive. Even though we’ve been successful at mitigating some of the impacts of weaker municipal spending, we need to do more to drive shareholder value and maintain a strong and competitive business segment. As a result we’ve taken action this segment to better position ourselves for continued success. Earlier this month we announced the move to consolidate the operations of Oshkosh specialty vehicles into other fire and emergency segment facilities. This is similar to our announcement last quarter when we made the decision to consolidate Jerr-Dan production to JLG facilities. We think this is the right move to take at this time. As part of our never ending drive to improve our operations, we will continue to evaluate our operational footprint across the company. Finally, as you saw earlier this spring with the launch of our Global Striker, we’re continuing to invest in new product development across the segment which is a (inaudible) driver for our success. Please turn with me to slide eight for discussion of our commercial segment. We continue the trend that we reported last quarter with the year over year increase in sales of our concrete placement products. This was driven mainly by international sales activity. We record a small sales increase in the US but we still have not seen a turn in the US country mixer market and we are realistic that we are unlikely to see an improvement until we see construction levels begin to improve. In the meantime the installed base continues to age. The joint venture in Brazil that we announced in Q4 provides us with a direct entry into the Brazilian concrete mixer market. This is a key development for us in a strategically important growing market. We continue to be excited about the growth opportunities with our customers for our (CNG) powered refuse collection vehicles. The value proposition for CNG powered units is becoming more compelling and we intent to leverage our expertise to capture sales of these units. I’m also proud to announce that IMT has been chosen to supply mounted cranes for us for use in a new national home refuse pick up program that uses flexible containers. Homeowners and small businesses can fill the containers with up to 3000 pounds of waste and an IMT truck mounted crane will come and take it away. This is a program that is very exciting because it illustrates opportunities available to us outside of our traditional markets and the revenue synergies that we seek across our businesses. And the right person to be leading us and capturing opportunities in this segment is our new Segment President Frank Nerenhausen. Frank has been with Oshkosh for more than 20 years and was most recently our Vice President of Sales and Marketing for the commercial segment. Frank’s keen insight and work ethic give us great confidence that he will be successful in leading this segments efforts. Frank worked with our former Segment President, Mike Wuest for many years and knows that Mike was a very positive influence on Frank. In addition to being a leader with Oshkosh for nearly 30 years himself. Over those years, Mike worked in many different areas and was a valued contributor and leader at all times. We appreciate Mike’s hard work and sacrifice in leading the commercial segment through some of the challenging times and wish him all the best. Dave please take it from here.
David Sagehorn: Thanks Charlie. Good morning everyone. Please turn to slide nine. We just concluded the very strong quarter, as Bob said, an outstanding fiscal year. Consolidated net sales for the fiscal Q4 were $2.1 billion dollars. This represents a 43% increase compared with the same quarter of last year. The increase in sales was due primarily to 671 million of M-ATV sales in the quarter including aftermarket parts and service. We sold 722 M-ATVs in Q4. Access equipment also delivered strong sales growth compared to the prior year. Access equipment sales included 151 million of M-ATV sales to the defense segment. Sales in this segment to external customers were 386 million or 57.8% higher than the prior year quarter. Operating income for the quarter was $233.6 million or 11.1% of sales compared to $118.2 million or 8% of sales in the prior year quarter. The improvement and operating income margin compared to the prior year quarter was largely due to stronger product mix and the impact of higher volume on our fixed cost base. The impact of these positive earnings drivers was partially offset by facility rationalization charges of $6.7 million in the Access equipment segment and $3.7 million in the fire and emergency segment. As well as $2.3 million of intangible asset impairment charges in the commercial segment. A prior year LIFO benefit of $24 million dollars compared to a $4.7 million dollar benefit in the current year Q4 also offset some of the positive impacts. It is also notable that the Access equipment segment achieved a profit on sales to external customers for the second quarter in a row despite $6.7 million dollars of facility rationalization charges in Q4 of fiscal 2010. Earnings per share from continuing operations for the quarter was $1.28 compared to $.55 in Q4 fiscal 2009. Included in this total was $.06 per share impact from the previously mentioned facility rationalization charges, impairment charges and LIFO benefit. Earnings per share also included $.08 of charges associated with the write off of unamortized finance fees related to our prior credit agreement. Last years earnings per share included a $.23 benefit from similar items including $.10 per share from tax planning strategies. As Bob mentioned, we reduced our debt by $139 million in the quarter. We reduced debt by $736 million dollars in fiscal 2010 and by nearly $1.5 billion dollars since September 30, 2008. This has enabled us to reduce our debt to total capitalization ratio to less than 50% September 30, 2010. We also entered into a new credit agreement during the quarter. Our significantly improved credit profile enabled us to secure much more favorable terms in this agreement. The improvements include extending the maturity to October 2015, a 300 basis point lower interest rate spread and increased flexibility to invest in the business and acquisitions. At this point in prior calls I have typically gone into some detail on our performance by segment. We are taking a new approach and I won’t review segment specific results that are available in the press release in the appendix section of our slide deck. Instead, I’ll narrow my comments to our outlook for fiscal 2011. Please turn to slide ten. In general our outlook for fiscal 2011 is similar to what we communicated on our last earnings call. We do have more confidence now in our outlook for our defense and Access equipment segments. This is due to continued growth in fiscal 2011 defense backlog at September 30 and another quarter of improved Access equipment performance. More than $3.5 billion dollars of the defense segments $4.7 billion dollar backlog at September 30 was for fiscal 2011 sales. $3.5 billion of fiscal 2011 backlog included more than $750 million related to the M-ATV program, most of which will be sold in the first half of the fiscal year. We believe full year defense segment sales will be above $4 billion dollars. We estimate that FMTV sales will comprise about 15% of segment sales as we ramp up production during the year. We currently believe that FMTV margins will be near break even in fiscal 2011 increasing as we move up the production efficiency curve and as we execute our cost reduction strategies. We believe fiscal 2011 margins for the segment will be in the low double digits. Because of relatively strong fiscal Q3 and Q4 sales and continued positive comments from rental companies, we currently believe that our Access equipment segment will record solid year over year sales gains in fiscal 2011. We expect most of the sales gains will come from North America due largely to replacement demand and from emerging markets. We expect that sales in this segment will be strongest in our second and third fiscal quarters. We believe that this segment will generate operating income margins in the low single digits in fiscal 2011. We believe fire and emergency sales will be flat to down compared to fiscal 2010 due mainly to continued weak municipal spending. We expect that margins in the segment will be lower due to a shift to units with lower content, increased new product development spending and a more challenging pricing environment especially internationally. We still believe that our commercial segment will generate modestly higher sales in fiscal 2011. We expect the concrete mixer sales will remain relatively flat domestically, but international concrete mixer sales will continue to grow. Turning to RCVs we believe that sales will be modestly higher in fiscal 2011 as we anticipate our customers, most of whom are private haulers and not municipalities will look to replace older units in their fleets. In particular, we believe that the low emissions value proposition presented by CNG powered waste haulers will generate incremental sales. Finally we expect that inter-segment sales of components to the defense segment will decrease in fiscal 2011. We expect that operating income margins in the commercial segment will be flat to down compared to fiscal 2010 operating income margins due to the loss of the inter segment defense sales. As we said last quarter, we expect to strengthen our market leadership and take advantage of future growth opportunities by investing in information systems, infrastructure and people. This means that we expect our corporate expenses to be higher than in fiscal 2010 as we invest to support the international growth initiatives that are segments of undertaking in fiscal 2010 and plan to undertake in fiscal 2011. We expect to continue to deliver debt reduction in fiscal 2011 but at a significantly slower pace than in fiscal 2010. We also expect significantly lower interest expense due to lower debt levels and a lower interest rate spread compared to our old credit agreement. Closing out with a few additional items, we continue to expect that our fiscal capital 2011 capital expenditures will approach $100 million but could reach $125 million dollars if the economic recovery strengthens and that our tax rate will be approximately 38%. I’ll turn it back over to Charlie for our closing remarks. Please turn to slide eleven.
Charles Szews: Thanks Dave. Fiscal 2010 will go down as an all time record year for Oshkosh. But we all know that records are made to be broken and I expect that Oshkosh will break these records at some point in the future. Some likely to happen in fiscal 2011 because the unique opportunity we had in fiscal 2010 as a sole supplier for the worlds most mobile MRAP vehicle, the M-ATV. Fiscal 2010 results are a testament to the great products, the great technology and most importantly the great people that we have at Oshkosh Corporation. Let me provide you with a glimpse of where we are headed. Yes, we expect defense sales to decline in fiscal 2011 with lower M-ATV volume but we still anticipate our defense business to generate its second highest ever sales year in fiscal 2011. And despite all the real threats to US defense spending going forward, we expect our FMTV sales will grow from fiscal 2011 to fiscal 2012. We are working on a large number of opportunities for new defense business that could also benefit fiscal 2012 and beyond. Meanwhile, we expect our non-defense business overall to transition to growth in fiscal 2011 and beyond. We will actively optimize our cost stricter and go global with our distribution in 2011 to take advantage of what we believe will be a gradual global recovery. Our balance sheet is now strong. Lowering our interest cost, increasing our flexibility to resume acquisitions perhaps beginning in fiscal 2012 or 2013. As you know, Oshkosh has a proud history of growth. We will operate with a growth company mindset as we move through this transition year fiscal 2011 and position Oshkosh to resume its growth legacy in fiscal 2012 and beyond. Let’s close with slide twelve. At Oshkosh we are mission driven. We are mission driven to serve and delight customers and we are mission driven to deliver superior value creation for our shareholders. Thank you for participating in this call and I’ll turn it back over to Pat to get started with the Q&A.
Patrick Davidson: Thanks Charlie. I’d like to remind everyone to limit their questions to one plus a follow up and try to avoid questions with multiple subparts, as it’s very difficult to ensure that everyone has an opportunity to participate. After the follow up we ask that you get back in queue to ask additional questions. With that Rob, I’ll turn it over to you to begin the question and answer period.
Operator: Thank you. We will now be conducting the question and answer session. (Operator instructions). One moment please while we poll for questions. Thank you. Our first question is coming from the line of Ann Duignan with JP Morgan Chase. Please proceed with your question.
Ann Duignan - JP Morgan Chase & Co: Hi, good morning guys. It’s Ann Duignan. A couple of things, could you talk kind of a little bit about the decline in your backlog for fire and emergency? Because I know you said on the last (inaudible) that (inaudible) 2011 is kind of transitioning into growth phase for the non-defense businesses, but as I look at municipalities and municipal spending and you know, particularly fire and emergency, it’s hard to conceive that those distances would recover as early as 2012 and perhaps maybe the same comment on the commercial side albeit I appreciate that, you know, you’ve got some large companies out there in the waste management arena that might start purchasing (inaudible). If you could just comment on what gives you confidence that those will start to recover in 2012.
Patrick Davidson: Very good, why. We believe there will be a gradual economic recovery. We are seeing signs, you know, across our JLG business for example that demand is picking up. Yes, it’s largely replacement right now but we are seeing pockets of purchases across the world certainly for growth. And as US companies like ourselves are seeing this growth internationally, that’s giving us better earnings power in the US and I think that will drive some recovery in the US. We’re not saying that there’s going to be robust growth in 2012 but as this present time we do think that gradual recovery is likely.
Ann Duignan - JP Morgan Chase & Co: But fire and emergency and commercial in particularly, I mean I know JLG might be seeing recovery, but the other businesses?
Patrick Davidson: You know, how long can certain markets stay down? For example, in concrete we’ve been down 90%-95% down in market since 2006. You know, they’re buying 500-600 concrete mixers a year since then. By 2012 you gotta believe it’s starting to come back. I’m not saying we’re going to see 5000 mixers being purchased in 2012 but we just can’t stay at the level that we are today.
Ann Duignan - JP Morgan Chase & Co: And that’s fair; at some point you do (inaudible) And one quick follow up on your last slide you talked about preparing for acquisitions again, could you talk a little bit about that and should investors be concerned that we’re going to start making large acquisitions again. What’s your thinking there? Are there some small (inaudible) opportunities that you see out there or are you looking for new platforms to smooth out earning. If you could just give us some color in terms of what your acquisition strategy is, that would be great. Thanks.
Charles Szews: I think what we’re trying to say to you Ann is that by 2012, perhaps 2013, that our balance sheet will be in a position that we believe strategic acquisitions will be possible again for us. That’s been a core part of our growth over the last 15 years. We’re not signaling that we’re gonna make any yet, just that we will be in that position and subject to the outlook of the global economy and the opportunities at that time, you know, we could be back in the market.
Ann Duignan - JP Morgan Chase & Co: And would it be similar products, new markets or adjoining products in mature markets? I’m just trying to get a sense of what kinds of items you might be looking at out there.
Charles Szews: You know, we’re looking across the board and again, I wouldn’t say that we’re real serious right now because you know M&A opportunities can change a lot in 12 to 18 months. So I think all we’re really signaling is that in a year, two years from now, that we’re gonna be- our balance sheet should be poised if the economy is in a recovery.
Ann Duignan - JP Morgan Chase & Co: Okay, I appreciate the color. Thank you. I’ll get back in line.
Operator: Thank you. Our next question is coming from the line of Walt Liptak of Barrington Research. Please proceed with your question.
Walter Liptak: Thanks, good morning guys. I wanted to ask first about the 2011 outlook, the $4 billion of defense and I wonder if we could get some color on how much FMTV revenue, how much more M-ATV trucks and parts are in there and then traditional defense truck.
Patrick Davidson: Walt in the prepared remarks we said we thought FMTV would be about 15% of our defense segment sales for next year. And as of September 30, we have $750 million, or more than $750 million of M-ATV in backlog. So we expect at least that much. And as you know we are pursuing opportunities for additional M-ATV sales and we believe we will get some. I think the question is really the timing of when we get those and whether they would hit in our fiscal 2011 or fiscal 2012.
Walter Liptak: Okay, what’s the opportunity for more M-ATV? What kind of revenue could we generate?
Charles Szews: Walt, we don’t have a revenue number for you but we certainly are pursuing additional M-ATV sales to the US department of defense. In our prepared remarks we did comment on the small contract that we received to develop an M-ATV ambulance for example. In addition, we are working with multiple foreign governments for FMS sales opportunities for the M-ATV and we’d be disappointed if at some point some of those sales opportunities don’t come to fruition.
Walter Liptak: Okay, got it. And then if I could ask about the balance sheet, you know receivables are up a little bit and you know inventories are still running at a high level. Can you comment about working capital accounts and what you expect to happen over the next quarter or two?
Patrick Davidson: Well part of the reason you’re seeing the receivables up at the end of September is defense had a very strong quarter in terms of parts and service sales and we generally don’t receive performance based payments on those so that’s what’s driving that. I think what I would say in terms of the working capital is we expect that we will continue to pay down debt throughout fiscal 2011 so that I think you can imply a few things from that.
Charles Szews: In addition we’re ramping up FMTV in fiscal Q4 and with sales really commencing in October so with any kind of significance so that really is part and parcel to what you’re seeing as well.
Walter Liptak: Okay, thanks. I’ll get back in queue.
Operator: Thank you. Our next question is from the line of Jamie Cook of Credit Suisse Group. Please proceed with your question.
Jamie Cook: Hi, good morning. It’s actually Peter Chang for Jamie. Great quarter, quick question, on M-ATV sales that were aftermarket on the quarter. It looks like it was about over half, and I wanted to know what was the percentage in backlog in aftermarket, and if these come more hand to mouth or if they are usually ordered in advance.
Credit Suisse Group: Hi, good morning. It’s actually Peter Chang for Jamie. Great quarter, quick question, on M-ATV sales that were aftermarket on the quarter. It looks like it was about over half, and I wanted to know what was the percentage in backlog in aftermarket, and if these come more hand to mouth or if they are usually ordered in advance.
Patrick Davidson: Parts and service on M-ATV in Q4 were a little more than half that we saw there, in terms of the backlog, the backlog at September 30, M-ATV specifically, was largely parts and service. As we have talked about previously on this program, the government did order a significant amount of parts and service for the M-ATV program, as they ramped up the production on those during fiscal 2010, and we’re still in the process of delivering those and will be, in terms of delivering on those orders, through largely the first half of fiscal 2011.
Peter Chang -- Credit Suisse Group: Great. And my follow up question is on Access equipment, and along the lines of the competitive environment, and what your expectations are on pricings. So if you could just add some color on what you’re seeing in the competitive environment, on your discussions with your customers and what your initial thoughts are on pricing for 2011.
Patrick Davidson: Well, the competitive environment is difficult as it has been for the last few years with lower industry volumes globally. Competitors are fighting for the remaining orders that are available, so we are in a difficult competitive environment. I would expect that we’ll see pricing improve over the next year.
Peter Chang -- Credit Suisse Group: Alright, great, thanks and I’ll get back in queue.
Operator: Thank you, our next question comes from the line of Jerry Revich with Goldman Sachs Group Inc. Please proceed with your question.
Jerry Revich - Goldman Sachs Group Inc.: Good morning, Bob and Charlie, congratulations. Dave, can you talk about what kind of cost savings you are targeting for the Jerr-Dan and OSV consolidation, if you can talk about payback period or however you want to frame that question that would be great.
David Sagehorn: Sure, I think in both instances, Jerry, in last quarter we talked a little bit about it on Jerr-Dan, I think it’s about a year payback on both projects.
Jerry Revich - Goldman Sachs Group Inc.: That’s helpful, and in Access equipment, can you talk about how much of a contribution you saw from pricing this quarter, because of improved residual values and trade-ins? On trade-ins, excuse me, and given the continued used equipment value improvement that we’re seeing, should we expect a greater pricing tailwind in coming quarters? Now, obviously it’s not going to come in the form of outright price increase, but perhaps narrowing the discount on the trade-ins. Thanks.
Charles Szews: I think the comments we made were really relative to our customer’s environments, so the customers see better trade in values, see better utilization, and I think that you’d infer there is what that means for our customer’s pricing, and I think that there outlook is generally favorable. With respect to JLG OshKosh, they’re not quite as direct, but certainly as we see our markets recovering if we see continued cost pressure, though it’s relatively modest right now, I think that you’d expect our pricing to improve as the market recovers as well.
Jerry Revich - Goldman Sachs Group Inc: I guess Charlie, where I was going with it is I would assume that the allowance that you’re giving folks on trade-ins declines because they are less out of the money relative to their book value on their equipment than they were when pricing on used equipment was 15% lower. So is the message you haven’t seen that benefit yet, and you don’t expect to see it? Or –
Charles Szews: No, no we are seeing that. I guess I just didn’t understand your question.
Jerry Revich - Goldman Sachs Group Inc: And Charlie, sorry, can you just quantify how much of a tailwind that was this quarter? The magnitude of the lower discounting as a result of better trade in values?
David Sagehorn: Jerry, I don’t have that level of granularity here with me. We did see some benefit on it, and the volume of trades that we’ve taken it’s still prevalent that you take a fair amount of trade ins, but it is less then we saw last year.
Jerry Revich - Goldman Sachs Group Inc: And lastly, Dave, can you talk about your target debt to cap ratio, your leverage ratio that we should be looking for before you step up the focus on the MA side in 2012, 2013, like Charlie alluded to? Thanks.
David Sagehorn: We’ve talked about having a leverage ratio less than two times, as we grow through the cycle here. So where we are today isn’t necessarily where we’ll be in a year or two years, but I think that’s a target that we’d like to see. We talked about our debt to total cap is less than 50%, that, we expect, will continue to come down throughout the year, so I think we’ll be in a good position in the next year, year and a half on that as well.
Jerry Revich - Goldman Sachs Group Inc: Thank you.
Operator: Our next question comes from the line of Andrew Obin - BofA Merrill Lynch. Please proceed with your question.
Andrew Obin - BofA Merrill Lynch: Yes, hi guys, just a question in terms of your guidance on JLG, A) just trying to get a sense what a good increase in revenue is, because your provided revenue number for the defense business, and B) regarding your margin forecast, just questioning here again, in Q3 we already had sort of low single digits, given the backlog increase that we’re seeing, that seems awfully conservative. Could you talk about that as well? What sort of operating leverage should you guys expect over the next year in JLG? Thank you.
Charles Szews: You know, in terms of the revenue expectations for fiscal 2011 I think what we said was solid, and I think that’s about as much detail as we’re going to get into on that. We are more comfortable this quarter than we were last quarter, in terms of growth opportunities for that business, next fiscal year, so I think we’re incrementally positive on the business. In terms of the margin expectations that will largely depend on where we ultimately do end up from a sales standpoint. It will depend on customer mix, product mix, a lot of variables go into that, so as we go through the year, obviously we will be able to continue to take a look at that and refine that as we go through the quarters.
David Sagehorn: Just a little bit of additional color here. With the relatively strong Q4 for JLG relative to Q34, I think that does bode well for the recovery of JLG in fiscal 2011. If you go over a longer historical period, you expect a little bit more of a drop-off, so I think it does bode well, but for us to give you any kind of quantitative estimate, we’re still early in this gradual recovery.
Andrew Obin - BofA Merrill Lynch: Sure, but just to make sure, JLG commercial business is profitable in the second half of this year, right? That’s a fair statement?
David Sagehorn: Yes, that’s correct.
Andrew Obin - BofA Merrill Lynch: So basically your statement that single digit margins go into next year given any type of growth that sounds like a very conservative forecast. Is that a fair statement?
David Sagehorn: We will let you, I guess, infer what you would like to from that.
Andrew Obin - BofA Merrill Lynch: I just, you know, this business historically had very nice operating leverage and I’m just a little bit puzzled why, given some previous solid growth and backlog, all the forecast – so but there’s nothing, there are no onetime items, there’s no restructuring, this is just a forecast the way it stands now. Is that fair?
David Sagehorn: Yes.
Andrew Obin - BofA Merrill Lynch: Okay, terrific, thank you very much.
Operator: Thank you, our next question comes from the line of Alexander Blanton of Ingalls & Snyder. Please proceed with your question.
Alexander Blanton - Ingalls & Snyder: Good morning. Just a clarification. You said early in the opening remarks, and also I think you repeated it, that this would be FY2011 would be a record, except for FY2010. Were you referring to the sales or the EPS, or both? Were you also referring to the total company or just the defense segment? Let’s clarify that right now.
Charles Szews: Okay, Alex. We were referring to defense sales.
Alexander Blanton - Ingalls & Snyder: Okay, just defense sales.
Charles Szews: Correct.
Alexander Blanton - Ingalls & Snyder: Alright, secondly, when you answered the question about M-ATV opportunities in North America, you said you’re pursuing additional opportunities with the defense department. What does that mean? What does the word ‘pursuing’ mean? Are there opportunities to pursue, or exactly what were you talking about?
Charles Szews: Alex, there are opportunities to pursue.
Alexander Blanton - Ingalls & Snyder: Well, but could you clarify a little bit on what those might be? Because you’ve only delivered 8000 and – well, you’ve got orders for 8079 units, and you have delivered most of those, but I think (inaudible ) said that ultimately they wanted 10,000 and now it looks like the Afghans operation is going to continue for a while. You got great publicity on 60 Minutes and so on, on the product, so they have to be very happy with it.
Charles Szews: Well, the customer is very happy with it, that’s clear. The M-ATV is performing extremely well in theater. It’s very survivable, it’s very mobile, it does generate interest, but you know, the US government is also its own – has its own fiscal issues to deal with. So what they buy is colored by their funding.
Alexander Blanton - Ingalls & Snyder: We’re going to put a price on people’s lives?
Charles Szews: Well, we can’t get political here –
Alexander Blanton - Ingalls & Snyder: Okay, but what I’m saying is that this is an immediate need that saves lives right now, so it seems to me it would have pretty high priority. So what are the chances for the other 2000 being ordered?
Charles Szews: You know, we do think that there are opportunities for traditional M-ATVs. We can tell you on what kind of a volume, that’s a very fluid situation at the Department of Defense, as we speak. Certainly the Department of Defense is looking very hard at our M-ATV ambulance, and we referred to that in our remarks. They’ve given us some funding to develop that ambulance to the next level. So that might be one opportunity. There are other opportunities that I really can’t share on this call that we are pursuing with the Department of Defense relative to the M-ATV.
Alexander Blanton - Ingalls & Snyder: Okay, thanks. Now, on Access equipment, briefly, Genie, your big competitor worldwide, in the June quarter you were up, I believe, sales were up 77% and Genie was up 12%, and in this September quarter you’re up 58% and Genie was up 42%, so you were gaining market share worldwide against Genie. Could you comment on that? Where is that? Is that in emerging markets mainly, or does it also include North America and Europe? And next year, where will the recovery be mostly?
Charles Szews: Okay, multiple comments there. You know, Alex, we just can’t comment on where we’re gaining share versus Genie. We don’t have their internal sales data and I don’t want to speculate there. We just do the best we can in every market, we’re tough competitors. Genie is as well, and you can tell Genie had a very good quarter, this quarter. Where do we expect most of the growth in the business to come next year? Well, frankly I think the US market is going to be a big generator of the growth that we see next year. Now, I can’t tell you what magnitude that will be yet, but right now the fleets are aging quite significantly in the US, and I think that will create opportunities for increased placement demand in fiscal 2011. I do think you’re going to see growth in other emerging markets. You know, Latin America, Asia, Middle East, but you know, they’re not of the scale that the US market is at today, so I think that should we enjoy growth next year, it’s most likely to come – the bigger percentage to come from the US.
Alexander Blanton - Ingalls & Snyder: Okay, thank you.
Operator: Our next question comes from the line of Charles Brady with BMO Capital Markets. Please proceed with your question.
Charles Brady - BMO Capital Markets U.S.: Okay, thanks. Good morning guys. Can you clarify for me, on M-ATV is any of that in fiscal ’11 being run through Access equipment, or has it all been washed through and now it’s all defense?
Charles Szews: They’ll have a small amount through Q1, Charlie, based on current backlog.
Charles Brady - BMO Capital Markets U.S.: And given the mix that it’s mostly parts now flowing through on M-ATV sales that should have a positive impact on the margin on that business, correct? Where it’s been recently.
David Sagehorn: No necessarily, no.
Charles Brady - BMO Capital Markets U.S.: Okay. Can you talk about any headwind, if I look at the margin on Access, now that you’ve got Jerr-Dan rolled into that, what kind of – at least temporarily over the next couple of quarters, the head wind on margin is coming from Jerr-Dan, I guess I’m trying to get at the base business, JLG, backing out these external factors.
David Sagehorn: Charlie, Jerr-Dan is going to be, really, a fairly small impact on JLG and the Access segment as a whole. There will be some, I’ll call it margin headwind, I would expect over the next several quarters, but again, given the relative size there, I don’t think it’s going to be real meaningful.
Charles Brady - BMO Capital Markets U.S.: Okay, when you look to the sales in the quarter, I guess you look to 2011, on your customer base at JLG, is there a difference in thinking among the larger rentals, versus smaller rental companies? And really, when you see that growth in North America, is it coming really largely from the larger rental companies? And the small guys are still having a tough time? Has it gotten any better with them?
David Sagehorn: I do think that you’re going to see more of the growth in the larger rental companies versus the independents, primarily it’s a financing issue. The independent rental companies don’t quite have the balance sheets and Access to credit to place their fleets as much as the national rental companies.
Charles Brady - BMO Capital Markets U.S.: Do you see you parts in aftermarket on JLG, that’s something you’ve been trying to increase, continuing to grow at the same pace, or should that level off given that the OE business ought to pick up from the low level it’s been at? And I’ll get back in queue. Thanks.
Charles Szews: That’s a good question. We would expect the parts and service business to grow in fiscal 2011 or at least that would be our target, more so out of our own initiatives and actions we’re taking to build that business, in necessarily a recovery market.
Charles Brady - BMO Capital Markets U.S.: Thanks.
Charles Szews: Thanks, Charlie.
Operator: Thank you, our next question comes from the line of Peter Savinsky with Sun Trust. Please proceed with your question.
Peter Savinsky -- Sun Trust: Good morning guys. Hey, I’m not sure if I missed this, but I wanted to drill down more into Access. You’re about a third of the way into the quarter here. Do you get the sense that Q1 for Access will be up sequentially from this quarter?
Charles Szews: No, you know, this quarter seasonally is always a very weak quarter. You can go back 10, 20, 30 years and it – the first fiscal quarter ending December 31 will always be the weakest quarter of the fiscal year.
Peter Savinsky -- Sun Trust: Got you, do you have enough visibility yet to say anything about Q2 versus this past quarter?
Charles Szews: Versus Q4?
Peter Savinsky -- Sun Trust: Correct.
Charles Szews: I don’t know that we have a great visibility yet. Certainly we would hope that as the year progresses that you’ll see an improved year in fiscal 2011.
Peter Savinsky -- Sun Trust: Okay, okay, and then I think the Access facility charge this quarter, I think Access margin was around 3.6%, in relation to your guidance, do you think you can do that kind of margin or better in 2011, or does the lack of MREV volume running through the plant kind of offset the higher volume?
Charles Szews: Pete, I think we’ll kind of stick with the guidance that we had and the prepared remarks, which is low single digits at this time, and as we said, we’ll continue to work to do what we can to take margin up, and we’ll have better view on that as we progress throughout the year.
Peter Savinsky -- Sun Trust: Okay, got you. Lastly, can you remind us why the tax rate is going to spike in 2011?
Charles Szews: Part of it is due to where the earnings are generated, and I guess that’s probably the largest driver.
Peter Savinsky -- Sun Trust: Got you, thanks guys.
Operator: Thank you, our next question comes from the line of David Raso of ISI Group Inc. Please proceed with your question.
David Raso -- ISI Group Inc: Hi, good morning, my question is on defense margins, and then quickly on Access. If you strip out M-ATV and FMTV in ’11 it seems to be implying the remainder of defense margins are roughly going to fall from about 18% to about 13% next year. Can you help me understand why they would decline that much? Is it less tach 4, is there something on the FHTV for ’11? Maybe the PLF? What is making up for that notable swing in non-M-ATV, FMTV? Or is it that FMTV is not even break even in 2011?
Charles Szews: David, I think we have a couple of things going on here. One is just the volume itself is coming down, and that will impact across the whole segment, obviously as we look at the absorption there. In addition, we’re continuing to spend an MPD, it’s something that we believe we have opportunities and we are committed to spending there, so you aren’t seeing a commensurate drop in those expenses, as you’re seeing in the top line. Those are two of the drivers that I guess come to mind quickly.
David Raso -- ISI Group Inc: Okay, that’s overhead absorption and new product development, but nothing notable on the product mix, in the non-M-ATV, non-FMTV?
Charles Szews: No, not really.
David Raso -- ISI Group Inc: Okay, and on the Access business, you strip out the defense related sales, it looks like the incremental year over year were about 40 in the quarter. Your guidance for next year seems to be implying something like 15%, I know we’re beating a dead horse here, a little bit, but you’re going to have to give us a little more color on why, because the idea of the stock is some leverage potentially in Access, and make your own thoughts around the sense. If it looks like that kind of incremental, you’re challenging people’s thoughts about your earning power this cycle.
Charles Szews: David, when you look at Q4, I think there’s a couple of things going on there that won’t necessarily continue into 2011. One, we talked about some favorable material costs. If you recall, last year in Q4 we were just getting near the end of running through the system units that were still built with high cost steel, so we had a very positive year over year benefit from that this year, and we don’t expect to have a similar positive benefit next year in that area. Used equipment, I think last year we saw higher volumes of used equipment that we were moving than this year. That also helped us on a year over year basis. We had a little bit of foreign exchange benefit this year versus last year, so there’s a number of things that when I – call it 40% or whatever, I think you need to – if you back all those off, you’re down in the call it mid to upper 20%.
David Sagehorn : And the other comment I guess I’d make, David, is I guess we would expect incremental margins to be solid. We do have two head winds though. One is that declining M-ATV production absorption of JLG, and the start up of our China facility, so I do think those two mitigated a little bit.
David Raso -- ISI Group Inc: Okay, and lastly, the FHTV design right issue, with the US Government, can you give us an update on that?
David Sagehorn : The which one, for the heavys? The US Army is still studying the situation and hasn’t come to any conclusions.
David Raso -- ISI Group Inc: Is there any way to help us at least handicap the impression you’ve gotten from them and how they’re thinking of handling it? Or maybe a precedent that the company is using as a framework for how you’re thinking about potential outcome?
Charles Szews: Really we have nothing more we can add to it. You know, we have not received any indication from the Army where they’re headed.
David Raso -- ISI Group Inc: Has there been a discussion with the government since the last earnings conference call about the issue?
Charles Szews: Oh yeah, we have ongoing discussions, but we don’t know where the Army’s going to head here.
David Raso -- ISI Group Inc: Okay, I appreciate it. Thank you very much.
Charles Szews: Thank you.
Operator: Your next question comes from the line of Josephine Millward with The Benchmark Company, LLC. Please proceed with your question.
Josephine Millward - The Benchmark Company, LLC: Good morning everyone. Just want to congratulate you on a phenomenal year.
Charles Szews: Thank you. We agree.
Josephine Millward - The Benchmark Company, LLC: Can you give us, the Army just came out with an updated tactical wheeled vehicle strategy this week, and the strategy provides some estimates on how much it will cost the Army to maintain their existing fleet. Now, since you dominate the base with the heavy and the medium trucks, can you just comment on how this might impact your defense outlook in the coming three to five years?
Charles Szews: Well, I think if you read the study the Department of Defense is struggling with it themselves, so you know, we actually viewed the report as actually positive, because they indicated for the first time that they had higher requirements than they had funding, and I think that bodes well for the Department of Defense perhaps seeking additional funding for OshKosh and other companies, helping the Department of Defense get their funding and so I think that overall the study was positive.
Josephine Millward - The Benchmark Company, LLC: And Bob, can you give us an update on where you stand with the Marines for the independent suspension upgrade and the Army’s Humvee recap?
Robert Bohn: Go ahead, Charlie.
Charles Szews: Sure, both of the programs are struggling right now for funding, but it’s pretty clear that both the Army and the Marines would like to do some kind of recap of the Humvees, maybe some vehicles might have upgrade suspensions, some might have upgrade suspensions and armor, some might also have new drive trains, they’re really looking at a full spectrum of potential recap of the vehicles. But there’s nothing definitive to tell you, because they need to secure funding and I think they’re still studying their options for what to do with the light fleet.
Josephine Millward - The Benchmark Company, LLC: Charlie, I’m a little surprised to hear you say that they are struggling with funding, because it looks like Congress will fully support what the Army has requested for the Humvee recap. They’ve marked up almost a billion dollars in the budget for this effort. Do you not have confidence this will get done?
Charles Szews: They don’t have the funding in hand today.
Josephine Millward - The Benchmark Company, LLC: Okay, that’s fair. Last question, can you talk about the Access equipment market in China? What’s the potential market size and you know, how you view that both in China and Asia for JLG going forward?
Charles Szews: Well, the Access equipment market, across the world, when it penetrates different markets, it tends to start very slow, and at some point there’s a sharp inflection point where the market really accepts the product line. And I can’t tell you when that inflection point will happen in China. Could it be in the next five years? Certainly. Could it be ten years from now? That’s a possibility as well. But certainly we believe that the China market at some point will have an inflection point. When it does, it’s going to be one of our biggest markets globally, and you know, could be the largest, because today it’s the largest construction market probably, in the world, and so it could certainly be that for JLG at some point, and I just can’t tell you when.
Josephine Millward - The Benchmark Company, LLC: Great, thank you.
Operator: Thank you, our next question comes from the line of Robert McCarthy of Robert W. Baird . Please proceed with your question.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Good morning everybody. What do you say? Nice year. I want to make sure that I understand exactly what you have in your defense outlook for next year, what assumptions you’ve made. There’s a certain amount of backlog that you say is shippable this coming year, and then you talk about an increment to that, in a forecast that you would deliver revenue above $4 billion. What accounts for that increment? Are we talking – it seems to me that traditional – I can’t remember the acronym, but it’s no spending, basically, to support ongoing operations that’s not actual procurement money might be enough to cover that gap, or are you explicitly making an assumption about incremental M-ATV orders?
David Sagehorn: Rob, I think historically as we come into the year, any given year, we don’t have a full backlog for that year that we’re entering, and we’re in the same position this year. You know, there’s a number of things that are out there that are still FY10 funds that need to be put under contract. As Charlie mentioned, we are pursuing M-ATV opportunities and we believe we’ll get some of those. The question is timing and what quantities, and then you’ll obviously have parts and service requirements that come up during the year. So I can’t tell you that we can tell you exactly what the pieces are, other than to say that we believe it will be north of the $4 billion for the year.
Charles Szews: If you humor me, Dave, if the gap’s a half a billion dollars, how does that measure up against a fairly, or a typical parts and service increment that you might expect to pick up in a typical year?
David Sagehorn: The change from 3.5 in backlog to about $4 billion or the increase should come across our business, so we would expect some of that to be heavy business, hopefully we can get some M-ATV business, some parts and service. If you’re suggesting that we’re going to get another half a billion dollars plus in parts and service orders, I don’t think that’s likely to happen, but you know, you never know. We’re in a conflict in Afghanistan today, and anything is possible.
Robert McCarthy - Robert W. Baird & Co. Incorporated: I didn’t mean to suggest –
Charles Szews: We’re really trying to tell you that we would expect the gap to be closed by across our business. Because again, we typically do not have everything under contracts. Funding that we see from previous fiscal years and supplements still has to be put under contract, and we expect it to go under contract at some point in fiscal 2011.
Robert McCarthy - Robert W. Baird & Co. Incorporated: So it would be fair to say, Charlie, that you have a – to the degree that we should infer any incremental M-ATV included in that forecast, that amount would be rather small? If all we’re trying to do is get to $4 billion from $3.5 billion.
Charles Szews: I don’t know what you use as large or small. So I don’t know if we can say any more.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Well, at a half a million dollars a truck, it seems to me that it can’t be a whole lot more than 300 or 400, 500 trucks, or you’d rapidly be using up – I’m sorry, I don’t mean to beat a dead horse. Can we speak to how you’re seeing purchasing, timing, developing, in the North American rental channel for JLG? In other words, in past years of growth, sometimes, a more typical pattern is for the industry to try and order as close to time of use as they can, but don’t have a sense of how the customer base sees available capacity at this point in the cycle. So should we expect a significant acceleration in backlog in the coming quarter? Or are we likely to have to wait for the March calendar quarter to see a more significant increase in order activity?
Charles Szews: Yeah, Rob, I do think you’d expect to see more of an increase in backlog in that March quarter. We certainly do have customers inquiring whether or not we have the capacity to meet demand. So it is possible some people could lean forward with their orders, given that, because they have seem struggles in this industry in past cycles, where it wasn’t that we or competitors could meet the production demand but more likely that our suppliers aren’t geared up. So some people have ordered early. That could happen a little bit, but I think anything significant would be more likely in the March quarter.
Robert McCarthy - Robert W. Baird & Co. Incorporated: Okay, very good. Thank you.
Operator: Thank you, our next question comes from the line of Ben Elias of Sterne, Agee & Leach. Please proceed with your question.
Ben Elias – Sterne, Agee & Leach: Thank you, good morning, Ben Elias, Sterne, Agee. I have a question, I guess it’s a followup question regarding the JLTV, let’s just assume for a moment that the government doesn’t have the funding, that program doesn’t go through. What have you got out there that is the closest replacement for the Humvee that could actually fill in, right now? Is that the light combat tactical vehicle?
Charles Szews: Our view is that the JLTV is probably a program that will move forward. When you look at the light tactical vehicle market, over the next five to twenty years, we believe that there’s going to be some purchase of JLTVs in some sort of recap of the Humvee fleet. Now, how much they spend on each portion of that activity is still a matter that the Department of Defense is studying, and we don’t have all of their decisions yet, nor do we have all the funding visibility that we would like, but it’s going to be a spectrum of activities like that. New JLTVs and upgraded Humvees.
Ben Elias – Sterne, Agee & Leach: The upgraded Humvees will probably get the tactical suspension, is that correct?
Charles Szews: That’s a matter that would be competed, and the Army and the Marine Corps will be making that decision in a competition. So I couldn’t tell you that.
Ben Elias – Sterne, Agee & Leach: Okay, I’m just trying to understand whether they would go to third vehicle. As you said, the options are to buy some JLTVs, if and when that goes through, the other option would be to upgrade and fix recap program on the Humvees –
Charles Szews: If there’s a third, it would be maybe an upgrade of modification to the current M-RAP fleet, including the M-ATV. I don’t know that there’s another new sort of platform that Department of Defense is looking at.
Ben Elias – Sterne, Agee & Leach: Okay, thank you.
Pat Davidson: Hey, Rob, this is Pat Davidson. We’ll take two more questions, okay?
Operator: Okay, Mr. Davidson. Our next question comes from the line of Basili Alukos of Morningstar. Please proceed with your question.
Basili Alukos - Morningstar: Hey guys, good morning. I’d like to go back to the FMTV, I think in your introductory remarks you mentioned that this year, or 2011, there will be – basically break even and then hopefully to ramp up. In the guidance your expectations for increased margins, how much of that is taking into account, or you’re hoping to get more add ons to the current design of the truck? I know you said before tech 4 suspensions and try to improve the truck and that will help your profitability.
Charles Szews: Our current guidance, which is qualified at best, we’re not assuming any major engineering change proposals or any major changes to the vehicle. Certainly for some period of time we’re going to be building the historic vehicle. Over time, we would hope that there’s opportunities to upgrade the performance of the vehicle that is something that the Army tends to do really on all of their programs. The timing of that is probably fiscal 2012 or beyond.
Basili Alukos - Morningstar: Okay, thanks, and then one follow up. We have the election looming in less than a week, and I’m wondering if there would be, and you don’t have to say the magnitude, but if you think, depending on the outcome of the election, there might be a material change in your forecast for the next three to five years?
Charles Szews: Yeah, we don’t know what could happen in the election, first. We’re not going to comment on that. What’s your thought, Basili?
Basili Alukos - Morningstar: Well, there’s been a lot of talk, obviously, in the Journal that it appears that defense budget, if the new party comes in that’s something that they won’t cut. Obviously I don’t want you to make a decision either way as far as who you think is going to win, but politics are a big issue in the defense business, so I’m wondering if at any point that’s something that you’re thinking about. If there could be a change, maybe not even material, but what would be kind of a magnitude if there was a change in the party of power?
Charles Szews: We just don’t want to comment on that. We can’t speculate, sorry.
Basili Alukos - Morningstar: That’s okay. I figured it was a sensitive question, but something that, like I said, given how important defense is in politics and all that. Thanks a lot.
Operator: Thank you, our last question for today’s question and answer session is coming from Steve Barger of KeyBanc Capital Markets Inc. Please proceed with your question.
Steve Barger - KeyBanc Capital Markets Inc.: Hey, good morning. I just want to follow up on one of the JLG discussions earlier. I think before the downturn your geographic mix was about 70% domestic, 30% international, if I’m remembering right. Given what you can see in the market right now, can you talk about where the geographic mix should be in FY11?
Charles Szews: Steve, I think historically before the downturn, we were closer to 55/45. EAME, which is Europe, Africa, and the Middle East, was very strong if you’ll recall, before that. I think today it’s probably closer to 60/40, North American and rest of the world, and if North America continues to improve that may pick up a little bit from there in fiscal 2011, but I don’t think we’re going to see a significant shift next year.
Steve Barger - KeyBanc Capital Markets Inc: Okay. And the recent awards for PLS and HET that fell in October, so after your fiscal year, I’m sure those are in your forward look, but are they in current backlog?
Charles Szews: They are not in the September 30 backlog, they are in our current backlog as of today.
Steve Barger - KeyBanc Capital Markets Inc: Right, I just wanted to make sure they weren’t in the backlog you reported today. And finally, one last question. As you transition back into growth for your non-defense segments, and you start to get more clarity from the DOD on where defense might go, is it your expectation or your thought process that you’ll return to numerical guidance at some point?
Charles Szews: We simply haven’t made that decision yet, Steve.
Steve Barger - KeyBanc Capital Markets Inc: Okay, thanks.
Robert Bohn: Okay, thank you very much for your interest in our company, and we’ll work very hard for our shareholders in fiscal 2011. Thank you.